Operator: This conference call contains forward-looking statements within the meaning of Section 27E of the Securities Exchange Act of 1934 as amended relating to Digital Ally's future business expectations and projections and financial condition and results of operations. These forward-looking statements involve certain risks and uncertainties. Digital Ally has listed some of the important factors that could cause actual results to differ materially from those discusses such forward-looking statements, which are referred to as cautionary statement in its earnings press release, which can be viewed under company's website. All subsequent listed are forward-looking statements, attributable to the company at present acting on its behalf are expressly qualified in their entirety by such cautionary statements. I would like to turn the call over to our speaker today Stan Ross. You may begin.
Stanton Ross: Thank you very much and thanks everybody for joining us. This is going to be quite an exciting call. We're very excited to be able to go over and recap the third quarter numbers with. Tom Heckman, our CFO, is here to do that. We also want to have the opportunity to -- I guess really for the first time, to elaborate a little bit on the acquisitions that we've made to date, including give you some insight on valuations associated with those acquisitions. And then also, give you some insight in regards to how we see the remainder of this year playing out along with 2022 in regards to new products, acquisitions, and stuff that we have along the lines. And then I'm going to close with as we haven't done it some time, but because of the clarity I think of where we're at and what we have to offer, we'll give you guidance on what we believe how our fourth quarter will come in and then also guidance on 2022 right before we close up to go into the Q&A. So a couple of exciting things to cover today. But let me -- let's get started with the third quarter numbers with Tom Heckman.
Tom Heckman: Thank you, Stan and welcome everyone. I appreciate you joining us today. We will be filing our 10-Q shortly. So, please review the 10-Q for more -- complete discussion of what happened during the quarter. We did do a press release this morning and showing our third quarter financials, which really is the first quarter that everyone can see the results of our new strategy of acquisitions and not just relying on our core business the Video segment and Shield segment. So, just as a recap, when COVID hit, it really had a damaging impact, especially on our commercial video segment. The cruise lines shutdown, taxicabs pretty much shutdown, so on and so forth. So, from that, and through the Board and Stan's leadership, we decided to go out and embark on an acquisition strategy to diversify somewhat away from our core business. Not that we're not going to focus on the core business, but we wanted to grow the company by accretive acquisitions. And we did finalize three acquisitions here year-to-date that we'd like to go over a little further. Our overall goal through these acquisitions is we look for companies that can benefit from our corporate infrastructure, our access to capital and our synergies and leadership. And as we get deeper into the acquisitions that we've done, I'm hopeful that you'll see the type of synergies and infrastructure and capital access, how that's going to impact positively the acquisitions that we did, as well as our consolidated company after the acquisition. If you look at the acquisitions, we really did two different areas. First was the healthcare division. And that is really a medical billing service, where they bill -- doctor services, hospital services, and it really just professional services. It's a roll up strategy. It's a very steady business. There's a -- it's a very fragmented business out in the marketplace right now. In fact, we're seeing over 6,000 individual companies out there. No companies with over 5% of the total business. So, it is an area that we believe is ripe for consolidation and doing a roll up strategy. We did two acquisitions, one closed on June 30th. So, it was in the last quarter in terms of balance sheet, but we had no revenue impact or operating impact in the second quarter. We had all three months in the third quarter. And then we did complete a larger healthcare medical billing acquisition on September 1st. So, we only had one month operations from that. And that was three times the size of the first one. So, we were successful in doing two acquisitions there.  The second area is a much bigger company and a much bigger acquisition it's TicketSmarter.com. And for those of you that don't know who TicketSmarter.com is, we hope you soon will, number one, but it's an online event ticket place -- ticket marketplace. They use the website to distribute, sell tickets. They do sponsorships with conferences, bowl games, NFL teams, and NBA team, so on and so forth, and create a marketplace for their tickets. As you might expect, COVID damaged that business terribly in 2020, then shortly into 2021. We've been talking with TicketSmarter for some time and looked at it and really liked what we saw. That business has done $15 million to $20 million annually in revenues in the past. But with COVID, the business was obviously damaged seriously. And they really were needed working capital, a little bit of infrastructure in that. So, we were able to complete that acquisition. We -- from a revenue standpoint, you'll notice how much of an impact these acquisitions have had, especially TicketSmarter. If you look at TicketSmarter, TicketSmarter was our largest segment. It -- and it was only one month of activity in the third quarter, but yet it produced more revenues than any of our other segments, including the traditional Video segment. It produced $2.1 million of revenue in one month's time. So you can kind of see the run rate that TicketSmarter is going at. Let's look at overall revenues. Overall revenues year-over-year for the third quarter increased $1 million or 29%. Product sales, however, were down $1.6 million. But if you look at prior year product sales included about $1.1 million ThermoVu sale in it, that really did not -- it was kind of a one-time event. So, if you take that out, it was still about $0.5 million decline in product sales. We are seeing a movement from upfront hardware sales to a subscription model. So, you would expect product sales to go down and service revenues to go up. And if you look at service revenues for the quarter, it was $2.7 million in the quarter, that's a 421% increase year-over-year. So, obviously, we've seen an increase in service sales. Now, 7% of that was video subscriptions, about a $50,000 year-over-year increase. The largest piece again was TicketSmarter because we count all the TicketSmarter revenue as service revenue. It was $2.1 million for the quarter alone and it was -- again, it was only one month of activity. So, we're very high on that. The healthcare division produced $560,000 worth of revenue for the quarter. Again, the first acquisition was in place for three months. It was a smaller of the two. The second one was only in place for one month. We closed on that September 1. So, really if you look into it, our revenues are running pretty steady at $4 million annual run rate just in these two acquisitions. And we do have probably at least one more acquisition at a close by the end of the year. And then several more we're looking at closing pending due diligence early in 2022. So, our roll up strategy in the healthcare business or healthcare division is really working, and there are opportunities there. And quite frankly, we're trying to buy those companies at approximately one-times annual revenue, which is -- when you're generating the margins, they are -- that really -- is accretive to the company as a total. You look at gross margins. Historically, our gross margin goal has been much higher than we achieved in this quarter. But what you're seeing is the impact of the acquisitions, both TicketSmarter and Nobility. We had a 30% overall gross margin in 2021 third quarter versus 34% in prior year. Our TicketSmarter margins run around 30% or did in the quarter. We believe that those will improve as we get further and further away from the COVID impact. And we're able to create some synergies with some of our activities at the corporate level. And Nobility margins are around 35%. We expect some substantial improvement in the Nobility margins. Nobility is our healthcare division, because we have yet to consolidate the billing services into our platform and our people. So, that's the really running on the old format and platform. And given the time we'll get that integrated into our platform, the Nobility platform and hopefully improve significantly that margin. So, with that all going on, we believe that our overall gross margin will improve from 30% gross margin in Q3, as we continue to integrate these acquisitions. SG&A expense overall $1.9 million increase, which is 63% year-over-year. Again, the acquisitions alone represented over $800,000 of that increase. Promotions and advertising increase roughly $650,000. A part of that is TicketSmarter is very dependent on digital media marketing, because they are a website. So, obviously, there's an impact on the promotions and advertising, because of the business model that TicketSmarter has. But from a corporate standpoint, our affiliations with NASCAR, Indy Car, NFL, and other teams and NBA and such, we're looking at leveraging those into the TicketSmarter platform. And hopefully in the near future, we'll have some pretty great announcements based on how we're leveraging those activities. Another cost that went up significantly was insurance costs, up almost $200,000 year-over-year. The insurance marketplace has really, really been difficult for us, as a small public company to the impact that we're actually looking at developing our own captive insurance company to control and contain those costs. So, we may have some announcements on that in the near future as well. Below the operating line items, and we've talked about this in the past, we had $11.6 million worth a gain from the change in fair market value of the warrant derivatives. Again, I usually discard the impact of the fair market value -- the warrant derivatives, because they are non-cash charges and gains. And they're very unpredictable. This quarter was $11.6 million of gain. Next quarter could be $11.6 million of loss. I mean, it just moves with the market. So, I don't give it much credence, but that did have a huge impact on our bottom line. Net income wise, we made $8 million for the quarter or $0.16 per share. If you look at our balance sheet, we remained very strong. Cash balances over $41 million, positive working capital over $35 million. Our net equity is over $56 million. So, our balance sheet is strength of ours, and it provides us with a great platform to continue the acquisition strategy that we've already implemented. I'd like to end with a little bit of a discussion about our special meeting with shareholders that we're going to hold on December 13th. We have issued a proxy regarding that. We're proposing the increase in authorized shares from 100 million to 300 million. I know that seems like a huge increase, but the reason we're doing that is because you have to pass those sorts of changes with the majority of all shares outstanding, not just shares voted at the meeting. If you'd look back at the results of our annual meeting, an overwhelming majority passed that increase in authorized, but it was not a majority of all shares outstanding. So, we're going back to shareholders to try and get a majority of all shares outstanding, which is -- the difficulties compounded because some of the larger brokers do not vote. Novos, we call non-objecting beneficial owners. So, each one of the individual shareholders in their broker base has to vote their own shares. And that includes Charles Schwab, TD Ameritrade. Some of the larger brokerages are that way, and it really makes it difficult on getting the numbers of shares voted the way where we need to. So, the reason we need and want this increase is, many of the acquisitions that we have done in the past and are looking at doing in the future, the owners or the sellers in those cases are requesting or wanting at least a portion of the consideration paid in the form of common stock. So, we want to have the ability to issue those shares to complete acquisitions, as we see fit. Now, going from 100 to 300 million is a large jump. We just don't want to have to do this every two or three years, because it is a costly process. And it's taken a lot of management time and a lot of professional time to get -- to hopefully get this passed. So, we hope everyone on the line today will look at their shares and the proxy, and hopefully vote along with management and the Board's recommendation to approve the increase in authorized shares. So, with that, I'll turn it back to Stan.
Stanton Ross: Great. Thanks a lot Tom. And again, we're very excited about the acquisitions that we made. And I think one of the things that I want to touch on is that when we do look at opportunities that are out there, we're looking at number one is how this acquisition -- we can sit there and enhance it. And I mean, by enhancing it through our contacts, our relationships, whether that be with law enforcement or situational security, or some of our partnerships that we've had over the years. And we're starting to see that rather quickly in regards to TicketSmarter for sure. And we know that we will get there as well with Nobility on the healthcare. We've been very successful in selling our ThermoVu and some of our other products into very nice hospitals and clinics throughout the country. And those are acquisitions or those are opportunities that Nobility we could make the introduction and they possibly could be able to do the billing for them, whether they just go ahead and outright do it and the handle the fee side of it, or maybe they've already have someone and that they get defer them to, and it may be a potential acquisition for Nobility. So, we look at those type of things and like TicketSmarter, obviously, we've talked about NASCAR, we've talked about Indy, we've talked about the situational security we do for NFL teams. Again, we have some of the highest level of capability of introducing them and hopefully because of our relationships, getting them the business of either clearly being involved in the secondary market, but maybe even being able to primary and that would continue to enhance their numbers, which we believe we're seeing. And I'll elaborate on that when I give guidance here in a little bit. But at the end of the day, you also -- we will want to look and make sure we're accretive to our -- for shareholders and these acquisitions make a lot of sense. And so you have to sit there and look at, okay, well, how do I compare with what's going on? From private sector to public sector and who's out there and is this really just hidden in the Digital Ally law enforcement side of the equations. And so, what I'm trying to do today is to point out just a couple, and if you do your homework, you can find out that there are medical billing companies out there that are in the public space. And one in particular is a NASDAQ company. When I'm talking about the medical billing, they go by R1 RCM Inc. They're a NASDAQ, their ticker symbol is RCM. They basically are out there trading at a five times revenue number, or almost a 30 times EBITDA number. And so, when Tom had mentioned earlier that the market is so fragmented and when you could go out there and we have been successful in picking up acquisitions at one-time revenue, when the traditional market right now is trading, call it a five, that's very accretive in value that we're bringing to the shareholder. So, very excited about continuing to do that and look for those opportunities and continue to consolidate that with the 6,000 different agencies that are out there. So, there's a lot of small ones that are -- that we're able to get out there and get in touch with. So, we're excited about that, and we felt great about the acquisitions we've made today. And clearly, there's a underlying value that's there. And hopefully, when the Nobility in our medical billing side increases, it's getting to a goal of $30 million, $50 million run rate a year. Obviously, it would come very attractive for the much larger entities that are out there trading at market caps in excess of $7 billion. So, we'd be receptive to visiting. That's on the medical billing side. You take TicketSmarter, there's a lot of names out there that you're probably familiar with, but some of them you may not be familiar with that are publicly held. We've done -- our homework on that and looked at what's out there. What's publicly held and again, where are they trading that in regards to a revenue and an EBITDA number? And again, TicketSmarter, they have the ability to -- I think at a full price acquisition, we're probably going to come in around $15 million roughly. That being said, it's still a number that's very consistent with possibly a one-time revenue number, that they have at a run rate. Well, the public market has got on an average and I'm giving this is an average number is we did our valuations is over six. So, again, very accretive, should have been very accretive. The day we announced it because I gave the Street notice that we anticipated that in 2022, that they would do in excess of $25 million. And I will touch on that a little bit more here when I -- when we get into the guidance. So, if you look at that and the valuation that TicketSmarter alone brings and where I get back to is the value-added that we can bring into it with the fact that we do have relationships with NASCAR, NASCAR Tracks and NASCAR -- just a lot of synergies in all our partnerships, so we can introduce these guys to, and we have, and it's starting to show benefits right away. So, do a little homework, realize that these acquisitions that we're making, we're going into them with a lot of knowledge of value that's accretive to our shareholders and trying to expand on that. All this being said, that's touching on those two big acquisitions. Now let's talk about the core business. We clearly have -- are prepared and are seeing the -- we announced that we've got a new body camera that we're coming out with. So, the market has been very receptive to that. We look for that to have a very good impact in the law enforcement market and the situational security and other areas that related to where body cameras would be a value in 2022. The fact that we now can offer a subscription model as very convenient and the handy for a lot of agencies. So, we continue to be excited about where we're headed in our core business with our body camera technology. Our EVO product. You've seen numerous press release where that's our in-car video system has been very successful and very well received in law enforcement as well. We will be launching a commercial version of that yet in 2022. And again, a lot of tremendous features that will now let any type of fleet that's out there, really be able to have some very, very strong technology to sit there and monitor their driver behavior, their vehicles, keeping -- tracking of where people are at. That commercial division, again we anticipate to be launching in the second quarter. So, the demand, as Tom had mentioned, on our subscription model continues to grow. We're very excited that we've seen such wonderful growth in 2020 to 2021, and do anticipate that to continue in 2022. A couple of other things. Obviously, with COVID, shutting down so many events, our situational security, side of things, like we do now currently for the chiefs and we've got stuff at MetLife Stadium where body cameras are being utilized. A lot of that had slowed up because of COVID. And now with events starting and you do have incidences that occurred, whether it be a concert or whatever, the importance of security at all these venues that will -- everyone is so hungry to start attending, has been escalated. We've got to sit there, have strong security, crowd control and having the capability, having body cameras into play, is definitely a request that we're seeing in big demand. So, our situational security looks very strong. We see similar situations with our international market, just now really starting to expand and open up. So, we're excited about what the outlook looks like for 2022 and the remainder of this year. So, one of the things I did say at the very beginning here, we'd be interested in, we think it's important to give some guidance instead of just waking up with numbers that clearly -- we exceeded what the Street was anticipating. But the fourth quarter looks very good. We see -- the growth that we're seeing in TicketSmarter, we continue to now get full enhancement on some acquisitions that medical billing side of our industries had, and we know where laws coming in as well. So, we anticipate that for the fourth quarter that we will exceed $9 million in revenue. That's a very big number for us. I'd have to go back to the some of the beginning days to think of a revenue number that was higher than the $9 million. If there, so it was maybe one quarter in our early beginning days, but we do anticipate that we should be able to eclipse $9 million in the fourth quarter, which would get us coming in, in excess of $18.5 million for 2021. Again, just refreshing everyone's memory in 2020, we finished a revenue of right at $10,500,000. So the great increase of in excess of $8 million, since we've been able to come out of COVID and start implementing some of our acquisition comments. Now for 2022, again, we've said there we've looked at it, we got a very strong understanding of TicketSmarter. We know -- have a pretty good sense of where loss is going to come in, in our medical billing. What I'm not including in this guidance number is our capability of maybe making some additional acquisitions. We're not putting a real heavy burden on our Shield division, which is our PPE products that we have and we're developing and creating the Shield brand. But for 2022, we anticipate that we will have revenues in excess of $50 million. Again, $50 million, we're talking about almost five-fold of what we did in 2020. So, obviously, you can see where my enthusiasm and excitement is where this is coming in. We're excited about using our contacts to expand the acquisitions that we've already made. And we've still have a very, very solid foothold in our relationship with law enforcement and situation with security. So, the video side of our business continues to look very strong as well. With all this being said, I will open up the floor for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Rommel Dionisio from Aegis Capital.
Rommel Dionisio: Good morning. Congratulations on the quarter. Sounds like you guys -- a lot of exciting things going on. I wanted to ask, so many are chatting about this or talking about this supply chain challenges with regards to components and shipping. Could you maybe walk us through the impact that might have happened [core Ally[ (ph)? I realize there's a lot of moving parts and it's probably had more to do with your core business than anything else. But could you just maybe talk us through the margin impact and maybe the outlook going forward for that? And to the extent also, just on top of that, you could maybe pass-through some price increases to your customers there. Thanks.
Stanton Ross: Yeah. I'll let Tom handle a little bit, but I will just make the one comment. One of the things that we did early on when we were fortunate to have some additional capital come into the company, we did look at our long lead items and some of the more crucial items and went ahead and bought in, in rather large quantities. For a couple reasons, one, the discounts that we could get associated with that. And just knowing that -- because of the lead time, we needed to make sure and be in a position that if there did become a supply issue, we wouldn't be facing it. But it is truly out there. And the pricing -- and such that some of our PPE products, we're seeing [C&B effected] (ph).
Tom Heckman: Yeah. From a shipping time and shipping costs, it's just been very, very difficult. Just getting cargo on a ship has been difficult and the pricing of the shipping has been very difficult as well. So -- but I think our -- one of our bigger challenges is people. We've taken a couple of initiatives to increase salaries, do a little more stock compensation for people to retain them. But it's very, very difficult on the labor market. And we're seeing direct results of that, especially in our Video segment on the sales side. We're challenged with getting the number of salesmen and the quality of salesmen out there that we really would like to have. So, we're getting difficulties in both sides, labor and the cost of shipping and the supply chain itself.
Rommel Dionisio: Okay. And just to clarify the guidance, and Stan, that was very, very helpful for us and for you to do. Looking at $50 million in excess, I think you said for next year, is that all from -- that would just be the company with what you've acquired so far and what you've announced, or does that assume additional acquisition. So I just wanted to clarify that.
Stanton Ross: No. And I'll give you a little more insight, on it a little bit. I mean, I think the medical billing company, I mean, just what they really got as a run rate right now -- right, and I'm talking about right now and a couple of acquisitions that they've already got some letters of intent on, it's probably going to come in somewhere between eight and 10. Okay? And so, then if you look at TicketSmarter and how they're performing and again, so excited about the opportunities to introduce them to a lot of our partners that we've already have out there, such as NASCAR, I mentioned numerous times, but I'd be surprised if they'll come in around 30. And so, you look at our new products and you look at the run rate and you don't try to get too crazy because you know that our subscription model, obviously, is a lot better, lot different revenue looking when you're deferring the cost over five years or three to five years. So, you don't try to ramp that up just dramatically, but again, there's no reason it's not going to do $10 million to $15 million. And so, I'm not putting any burden on the Shield. I'm not putting any new burdens on us, having to go out there and create new acquisitions. So, I know where you're -- I believe I know where you're going on the question, but that's pretty much what we see as a run rate right now, let alone if we can be successful in finding more opportunities.
Rommel Dionisio: Great. All right. Thanks again. Congratulations again, guys.
Stanton Ross: Thank you.
Operator: Our next question comes from the line of Bryan Lubitz from Aegis Capital.
Bryan Lubitz: Morning, gentlemen.
Stanton Ross: Good morning, Bryan.
Bryan Lubitz: Nice quarter, and it looks like we're going to have some wind in our sails moving forward. In terms of the $50 million and guidance -- and Stan, you just elaborated. Now, these companies that you're acquiring, are you looking for basic synergies where you're going to leverage your Rolodex and it's going to grow from the $50 million and you anticipate year-over-year, just consistent growth, or is this the run rate you just kind of expect, and as you acquire more companies, that'll add to the bottom line?
Stanton Ross: You hit it on the head, Bryan. I mean, the very, very first thing I look at, obviously, we don't want to catch a falling knife. We're not looking to get too involved in startups and stuff like that. We're looking for companies that are Rolodex. Our relationship with all our partners and the -- let's say, the distribution channel that we have and doors that we can open, that is number one. If we can sit there much like TicketSmarter or the medical billing, and know that if they could just get introduced to this party and get a little more business here and there, and maybe even expand on instead of the secondary market, more of the primary market because of relationships, that is absolutely number one on the box. It's got to be the need for the Rolodex in our infrastructure. Number two is where the capital comes into play. We can find companies out there that are still trying to recover from COVID and maybe the -- what was it that the PPP money helped them. And maybe there's some other monies after that, or that's helped them stay afloat, but to really get healthy and get back into the game, it's going to take time, although their numbers have turned around much like TicketSmarter. I mean, there, we could see they were turning the corner. So, instead of them taking a couple of years to get healthy, we can help them heal them up overnight and not without -- not a lot of capital needed to do that, but what gives them the real jumpstart and a leg up on those that are having to recover slowly. So, those number one and two, and then it really -- there's a lot of entities out there where if you really look at our -- I guess, again, infrastructure that we have on the corporate level, whether it be some assistance in engineering, some assistance in our web design, assistance in HR, I mean, insurance, all the above. I mean, there's things like that, that we bring to the table that can be very accommodating as well. And so, those are the three things that we really want to see. And then, we also are checking the boxes to make sure that we're doing things that we believe are very accretive to our shareholders.
Bryan Lubitz: Okay. Now, with all that being said, you guys -- your core business for a very long time has been the body camera. And I know you guys just released the EVO 2, which does look exciting. I've seen all the features on it. The service revenue that you generate from that, as you mentioned, is spread out over time with the subscription program, great margins. Are you guys shifting your business model where that's not going to be your core business? I mean, because $30 million from the ticket sales alone is going to do more revenue than I've seen you guys doing in five or six years, just off the cameras.
Stanton Ross: Yeah. I mean, Bryan, I think our all time high with when we were just in the -- in-car system. And I don't even know that we had that many body cameras way back when was $33 million, that was an all-time high in annual sales. So, we're, obviously, looking at shattering it in 2022. We will not lose focus on our core business. The only difference is that we got to look at it a little differently instead of the core business being law enforcement. It's more a video solutions.  So, we continue to expand our footprint, because the law enforcement sector is only 18,000 agencies. And you may notice, I mean, the 800 pound gorilla in the industry has now started getting into dabbling into the commercial side of business as well, because you go sell up in-car system to an agency that has a five-year warranty, or is on a five-year subscription or the same thing with a body camera. That -- they're pretty much out of the market for you for, at least, five years, unless they want to upgrade or get another car or additional personnel. So, you've got to sit there and expand into the different markets like we have with the -- in the taxicabs and other fleets, and other areas where this type of technology comes in. So, while we -- we'll always have a good position in law enforcement, we've got to look at ourselves as a video solutions company, because we are going to get into a lot of other areas that are just extensions of what we started 10 years ago, or better in law enforcement. We're not abandoning.
Bryan Lubitz: Okay. I'm not saying that you are -- I'm just -- I'm curious. Now when you get tickets sales, you get these acquisitions, is your goal to not only introduce them to the NASCAR and MetLife and Kansas City partnerships, but is your goal to get there, for example, it doesn't the ticket company manage over 200 college stadiums, is to goal to get the Shield product and hopefully the body cameras on the people that work at those stadiums. Is that where you see the synergy?
Stanton Ross: Absolutely. Yeah. You're dead on. You're dead on. I mean, they -- so there are certain areas where his infrastructure has, or distribution channel, however you want to say it, have some very good contacts. Because I mean, he's negotiated some very good deals at the very highest level of those institutions. And so, again, he can make that introduction for our video solutions division, our Shield division. And hopefully again, we expand on the Digital Ally family of companies or slash products, I'm already seeing it. I mean, there's a couple of incidents right now where we went and talked to them and they understand all this services and products and capabilities that we have, meaning Digital Ally. And they don't -- they all of a sudden look at us differently. Then a secondary ticket company, as when he's going in there. So, yes. The web, the networking that we're -- these acquisitions are very, very important to us.
Bryan Lubitz: Okay. Last question. I think this is more for Tom. I'm not sure, Tom, if you've covered, where you guys sit currently in terms of your cash position.
Tom Heckman: Yeah. Bryan, we're over $41 million in cash. So, we got plenty of cash on the balance sheet. We've got 30 -- $35 million in positive working capital and $56 million in net equity. So, our balance sheet is very, very strong right now. And it gives us a great platform to go out and do more acquisitions. That's why it's so important that we do get these -- this increase in authorized shares approved by the shareholders.
Stanton Ross: And Bryan, again, that's why I sort of wanted to point out to really emphasize, the acquisitions that we made, while it's going to take some analysts and some people that really see what's going on to get to get behind it, we're going to get there. But these are very creative acquisitions that we've made. And there are comparisons out there that you -- on the Street that you can look at. And if you sat there and did, value the medical billing company, as I mentioned, compared to other publicly held companies, and you did TicketSmarter the same way as some other privately held companies and then law and everything else, we're as frustrated with the stock prices as anybody, because there's a lot of underlying value there.
Bryan Lubitz: Well, it's clear that you guys are undervalued. And I'll say it to you again -- I've said it probably on the last four or five calls. I know corona is kind of put a crimp in -- you come in to hang out with me in New York, but we got to get you guys out here. You got to get on the road show California, wherever, because a quarter like this, and no one knows, we got to get that word out there. We need more analysts. We need more support because $50 million, if you guys get to that next year, when you get to that next year, I've been with you guys for 10 years on and off, I've never seen you do a number like that. So, I'm real excited for you guys as well.
Stanton Ross: Appreciate it, Bryan, and look at your calendar after Thanksgiving. I'll be there.
Bryan Lubitz: Super. And Tom, get something for that cough [ph] back there. It looks like you're going through the same thing we are up here. All right.
Tom Heckman: Yeah.
Bryan Lubitz: All right, guys. Listen, happy Thanksgiving to you. I look forward to speaking to you soon. 
Stanton Ross: Sounds good. Same to you, Bryan.
Operator: Our next question comes into line as Patrick McGrady from Stonefish Capital.
Patrick McGrady: Hey. Good morning, guys. Thanks for taking my question. Tom, I wanted to see -- I may have missed it, but can you just break down the gross and the net margins for the three business lines?
Tom Heckman: Well, the -- at the gross margin line, we're looking at about 30% in the traditional business, as gross margin, roughly the same in TicketSmarter business 30% and 35% in Nobility. Now, Nobility, that's prior to any integration and synergies, because our partner at Nobility, gosh, they employ about 500 people billing specialists that are going to be leveraged into that platform. So, we're up -- excuse me -- we're looking for much improvement on Nobility side, as well as the TicketSmarter and hopefully, the traditional video segment.
Patrick McGrady: Okay. Great. And I have one follow-up question. Now that you guys have acquired these two or starting these two new businesses, it seems like you're generating some good net income. You got a lot of cash on hand. I know that you're proposing to do an increase in shares or share sales potentially in the future. But can you talk a little bit more about using organic cash flow and cash on hand for these acquisitions?
Stanton Ross: Yeah. This is Stan. I'm sure Tom will chime in as well. I mean, absolutely, right now, we think that we're quite undervalued and would prefer to look at opportunities and utilize the cash. What happens though, you do have -- like a lot of our acquisitions, we're really not looking to acquire something that we've got to backfill with personnel. And so, those that are wanting to stay recognize the difference of being privately held versus publicly held and maybe also recognize the upside value associated with it, so they are requesting stock. And so, what we want to do is make sure -- like Tom said, it's very expensive to do this procedures, especially with -- you really got to reach out and try to grab that guy that has a thousand shares and said can you vote your shares please? And hopefully you'll support the board and management in how you vote. But to get the amount of numbers that we have to is expensive, so we want to go ahead and do it one time and be in a position that when we do find more TicketSmarters and medical billing companies, that we can make sure and do something that's accretive obviously, but we also can have some very happy and committed employees that are coming along with that entity.
Tom Heckman: Yeah. And I'll just echo what Stan said, a lot of these acquisition, the owners and the upper level management want -- they see the synergies and the incentive of joining the Digital Ally companies. And with that they want common stock. They want, as part of the consideration that they're being paid for the acquisition, as well as some restricted stock based on cash flows in the future and in operating results. So, we just need to have that quiver in our -- that arrow in our quiver to be able to use when and as needed. We're not going to just give away stock, hopefully that's not coming through here. I realized we are asking for a large increase, $100 million to $300 million. But again, the reason we're doing that is it's so darn expensive. And it's such a drag on and focus of management right now that could be spent better on operations and that -- and we're having to do a lot of outreaches to potential shareholders to talk to them about voting and all that stuff. So, that's more of the reason. We're going to be judicious in giving out those shares. But I think, by doing so, it's going to attract better management. It's going to attract better acquisitions for the company that it'll be accretive to the current shareholders.
Patrick McGrady: Yeah. That's very helpful. I appreciate that explanation. And then, Nobility and TicketSmarter, are you guys -- obviously, great deals for you guys. Good price points, it seems like in terms of getting in. Are you still seeing those types of opportunities in the marketplace? I know -- I think you probably hit it at a good time when you made those acquisitions, are you still seeing opportunities and the RCM business seems to -- seem like there's a lot of growth there in the future here?
Stanton Ross: Yeah. So, I guess, the easier one is, is the medical billing side, because it is so fragmented. It is. I mean, there's a lot of mom and pops out there that being part of a bigger organization helps them too, because they can go into different clinics and hospitals and now say, no, we're a size of a 600 employees, not 30 or something along those lines. So, it helps their core business too. So, we're seeing quite a bit of those opportunities that are out there. The key is just to make sure do your due diligence and make sure the contracts are good. And long-term on that front. And the TicketSmarter, while we're excited about the potential of -- maybe there's some other entities out there along those ways, what I'm excited about is just the relationships in how well these relationships that -- the introductions that we've made, how receptive they have been to entertain TicketSmarter as maybe not just a secondary partnership, but actually step in as the primary, which again, is a bigger margins, bigger numbers, bigger all the above. So, I'm really been focusing on getting them in front of those opportunities. But meanwhile, my eyes open for what else may be out there.
Tom Heckman: Yeah. There are some complimentary businesses to TicketSmarter that we have been in touch with. And it's complimentary not competitors of TicketSmarter. Really what we're seeing is, customers don't want more vendors. They want fewer vendors and the more services we can provide around that in a one-stop shop the better. So, there's a number of laterals that we could go with TicketSmarter and Nobility for that matter, that's available for us. And we're looking at very, very serious now.
Stanton Ross: Well said. Because it is. Like I said, the one entity, it's a professional club. And when they realized what all we could do, everything from stepping in with -- our electrostatic sprayers, utilizing our HOCl Shield products to situational security and outfit and their security people on game day, with body cameras, along with helping them with the ticket sales. I mean -- or a concert, I mean, we offer quite a bit so far. And like Tom said, there's some other complimentary opportunities that were out there that we've been in talks with that we think will continue to enhance the company.
Patrick McGrady: Perfect. No, that's great. A lot of exciting growth. I appreciate you guys answering my questions and congratulations again on the quarter and on the acquisition.
Stanton Ross: Well, thank you very much. And tell you what we're going to go ahead and take one more call. We've got -- take one more and then we'll go ahead and wrap this up.
Operator: We have the line of Rommel Dionisio from Aegis Capital.
Rommel Dionisio: Thank you so much, guys. I'll make it a quick one. So, as I look at the TicketSmarter business, I just want to ask, does it -- do you just feel it helps for that company to be part of a publicly traded larger financially stable, obviously significant cash reserve company in that segment of business? Do you get the sense that -- I see that they have links with ESPN and some of these other really high profile, can you just get the sense that just being part of you guys, a bigger company with, all this credibility in the marketplace, and obviously your other businesses brings credibility, it enables them to help win business faster than they otherwise would have won, as a standalone. Thanks.
Stanton Ross: Yeah. Well, absolutely. I mean, I'm glad you brought that up, because Jeff Goodman, he's the CEO of TicketSmarter, he's still the TicketSmarter CEO. And he has reflected that to me that, because of now the association with Digital Ally and some of the other things that we have to offer and the financial strength has greatly enhanced his ability to win this business. So, you're dead on. That was a great question. It has clearly assisted in what he's capable of doing.
Rommel Dionisio: Great. Thanks so much, guys.
Stanton Ross: Thank you all. Listen, thanks everybody for joining us today. Sorry. We had to delay it a couple of days. As Tom mentioned, we'll get that 10-Q file right away, and then also really encourage you to -- if you would reach out to your brokers wherever you need to, to submit your votes. Hopefully, you will follow the board and management's decision on own how we're going. And then again, we're just very excited about the future. So, have a wonderful Thanksgiving, happy holidays and be watching us closely. We're excited about finishing this year strong and having a wonderful 2022. Thank you all.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you everyone for participating. You may now disconnect.